Operator: Thank you for standing by and welcome to the Stanmore Resources Limited December 2024 Quarterly Activities Report. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Marcelo Matos, Executive Director and CEO. Please go ahead.
Marcelo Matos: Good morning all and Happy New Year to all those joining as we provide an update on our performance for the December '24 quarter, thereby also closing our operational performance for our full year reporting. We're pleased to have announced that overall, we have exceeded the upper guidance of -- the upper range of guidance with 13.8 million tonnes of saleable production in 2024. This outcome is reflective of the consistent performance by the business including full year Run of Mine production records across all three core operations and sales tonnes records at both South Walker Creek and Poitrel. For the December quarter specifically despite the planned 14-day shutdown at the South Walker Creek CHPP for the tie-in of the expansion module and significant wet weather headwinds in December. We were able to consolidate the full year results with quarterly saleable production of 3.3 million tonnes. Metallurgical coal markets remained challenging throughout the quarter with their ongoing glut of Chinese steel exports keeping the demand for seaborne met coal subdued and together with stable supply of all key regions ultimately resulted in prices tracking largely sideways through the quarter. Despite these market conditions, we expected lower run rate of production and sales in December and the tailwind capital expenditure for our major projects in the quarter. Our net debt position improved slightly to US$26 million. Late in the quarter, we are also glad to report that we reached an agreement to upsize the corporate revolving credit facility by US$50 million to a total of US$150 million. Together with the final 2024 cash balance of US$289 million and other existing credit facilities. Stanmore now has more than US$500 million in available liquidity. Finally, we continue to make strides in our decarbonization journey with an agreement with the Idemitsu for a trial Pongamia plantation on our significant land holdings adjacent to South Walker Creek. Moving into further detail for the quarter and starting with safety. With no serious accidents recorded in the whole second half, we've seen the 12 month rolling frequency rate has reduced to 0.3 as at December 31st, '24 compared to the latest industry average of 0.67. Overall, for the year, we recorded two serious accidents, both related to line of fire hand injuries with most of the other recordable injuries primarily related to hand, finger, musculoskeletal and ankle injuries. Moving on to a brief operational update at each site. South Walker Creek December quarter Run of Mine production of 1.6 million tonnes was down by 0.5 million tonnes compared to the prior quarter. This was primarily a function of wet weather impacting December where the site received 180 millimeters of rain. However, it was also a function of planned mine sequencing and the strong run rate through the end of September. The tie-in of the expansion module of the CHPP was completed during a planned two week shutdown in November, which rebounded with strong productivities to support quarterly saleable productions of 1.4 million tonnes, only a minor decrease compared to the September '24. Annual saleable production was 6.3 million tonnes, above the upper end of our stated '24 guidance and just 4,000 tonnes below the all-time saleable production record set in 2023. Projects wise, MRA2C reached a significant milestone with the completion of all major earthworks and rehabilitation ahead of removing the plugs to open the new Creek diversion, finishing works and the satisfaction of statutory criteria to enable development and mining of the new E-North pit from early in the first quarter in '25. The project is expected to be more than US$30 million below the anticipated spend, an exceptional outcome for the business and a testament to the quality of our project team in both the planning and execution of our largest capital project yet. As highlighted earlier, with the tie-in of the CHPP expansion module, the broader South Walker Creek expansion is now completed in the December quarter with handover concluded approximately six weeks ahead of the plan. Our major CapEx campaign started two years ago is now being successfully concluded with the tail end of expenditure expected in the first quarter '25 with mostly steady state sustaining capital thereafter. And we look forward to seeing the expanded operation reach new consistent heights in '25 as we eventually see new mine capacity of 9.4 million tonnes of Run of Mine per annum, equivalent to approximately 7.0 million product tonnes going forward. Poitrel output normalized to 1.6 million Run of Mine tonnes in the December quarter. Strong opening inventories from an all-time production record in September quarter supported consistent saleable production and sales quarter-on-quarter, which also benefited from increased available wash time following the closure of Millennium pre-results. These results close out an impressive year for Poitrel, which set all-time Run of Mine coal production, saleable production and sales records, ultimately exceeding guidance for 2024. An extremely commendable effort from our site and operations teams given the extensive work happening with the Ramp 10 Box Cut ramp up and numerous equipment change outs. The Isaac Plains complex had a challenging quarter with weather conditions in December impacting mining conditions which broadly speaking necessitated prioritization of overburdened removal over coal mining. Notwithstanding these challenges and a difficult start to 2024 also from wet weather, the Isaac Plains complex set an annual Run of Mine production record of 3.9 million tonnes for the year. Annual saleable production and sales were 2.8 million tonnes and 2.7 million tonnes respectively with the former sitting at the upper end of our guidance. I'll now hand over to Shane to summarize our corporate activities and key cash flow items in the quarter.
Shane Young: Thanks, Marcello. As highlighted earlier in the call, we concluded the year with US$289 million in cash, which when accounting for the remaining term loan principal balance of US$315 million which is after the scheduled principal repayment of US$35 million during the quarter, translates to a net debt position of US$26 million as at 31 December 2024. The movement in net debt is largely neutral compared to the closing position as of 30 September 2024, reflective of the above run rate cycles in the quarter prior broadly lower coal pricing indices and US$24 million of capital expenditure largely related to the tail end of major projects such as MRA2C and the South Walker Creek expansion which will place us at the lower end of our guidance range for CapEx for the full year. The US$50 million upsizing of our revolving credit facility completed in December was a great outcome for the business as it was strongly supported and ultimately filled by Australian and Global Banks. This additional liquidity was contemplated as part of the overall refinance included in September 2024 and is on the same terms and conditions as the existing facility. Overall the upsized US$150 million of revolving credit facility combines with the US$70 million GEAR facility and available cash for total liquidity of US$509 million as at 31 December 2024. This provides a strong base heading into a somewhat uncertain coal price environment in 2025 with a clean balance sheet following the exhaustion of significant one-off liabilities in 2024 such as the US$170 million tax payment in June and US$150 million earn out payment to BHP. Finally, regarding public guidance, total consolidated saleable production has come in at 13.8 million tonnes for 2024 above the guidance range of 12.8 million to 13.6 million tonnes. This is a great result for Stanmore achieved despite the closure of Millennium Complex and wet weather challenges and demonstrates our operating capability as well as the strength of our de-risked portfolio. We look forward to updating our investors on our cost and capital expenditure performance versus guidance come the release of our financial results in late February. I'll now hand back to Marcelo to conclude the call with a brief overview of market conditions before moving to Q&A.
Marcelo Matos: Thanks, Shane. As detailed in the report, met coal indices traded broadly sideways in the December quarter remaining in a holding pattern at around US$200 per tonne. We're watching closely how buyers adapt to any shift in global policy direction, particularly with any retaliatory measures that may come out of China from potential US tariffs and the pace of returning demand from India, including announcements of government spending on infrastructure and met coal import quotas. For the time being, the theme of China steel exports remaining elevated continued through the December quarter, reaching a peak annual run rate in October with just over 11.2 million tonnes for the month. This puts total Chinese exports of steel at over 110 million tonnes for 2024, which is the highest level recorded since 2015 and well above the average over the last decade. With that, I'll now hand over to the moderator, so we can take your questions.
Operator: [Operator Instructions] Thank you. Your first question today comes from Brett McKay with Petra Capital. Please go ahead.
Brett McKay: Thank you and good morning team. Another excellent result, well done. Just a quick one around, I suppose, the outlook for operations going into 2025 to the extent that you can speak to it. Just focusing on the strip ratio, probably a bit higher in the December quarter than what I'd anticipated, but I guess there's weather impacts in that as well. Just given where it's at now, can you give us a bit of a guide as to where that might trend into FY'25 for the year? Are we expecting it to sort of stay up at these levels or trend back slightly with normalization post the wet season?
Marcelo Matos: Good morning, Brett. Look, I think the strip ratio was an anticipated question. I think South Walker is probably the standout in the quarter. As we said, we were around 0.5 million tonnes below where we wanted to be. There was a bit of prioritizing stripping, given the impacts we had on wet weather. We did finish the year with healthy ROM stocks, okay, despite all the weather. We had more than a million tonnes of ROM across the board in all the three operations, with no healthy in-pit inventories as well. So, yes, Q4 was an outlier, I would say. It's probably South Walker being the key one with 14:1. It's not what we expect going forward. If you look at the average for the year in South Walker, we were close to 10. It was a year that this highest strip in South Walker was expected given the ramp up of the expansion fleets, right? We have additional fleets to ramp up the ROM production. So this was expected. We had some good outcomes on yield as well, okay. So we're mining more coal on the southern pits, which somehow upset this strip ratio a little bit with better yields. So going forward, we are now opening the E-North pit, which is the first one at the MRA area. And we expect a much more, let's say, steady state lower strip ratio going forward in South Walker for sure. At Poitrel for the year we had an average of 8:1 as you see 8.1. So that's probably a steady state level at Poitrel plus minus, I would say plus minus with some variation. With Isaac having averaged 11.7% in December, that was perhaps above what we were expecting as well for similar reasons for South Walker. The average was 9. There is an expectation of this to be slightly up in '25, which is not expected as well. So I mean long answer to your question, Brett, but no I think Q4 is not a normal -- was not a normal quarter. I think we already expect Q1 '25 to be quite different and the '25 as a whole as well, especially in South Walker Creek.
Brett McKay: Okay. Thanks, Marcelo. Just following that, any impacts as you open up those new pits at South Walker on the strip ratio or is that sort of going to be some capitalized waste upfront?
Marcelo Matos: There will be some capitalized waste upfront in the E-North Pit, which is the only one we're going to mine this year in South Walker. That's going to be part of the CapEx guidance, which was always part of our estimates for the project. But strip ratio wise, it will be a pretty low strip ratio pit going forward, especially in the of course in the early months or years in the MRA area.
Brett McKay: Okay, great. Thank you. Just quickly moving on to studies around sort of growth projects and optionality you have in the portfolio. Can you just give us a quick update around timing of the various projects that you've got ongoing and studies that we might expect to see during the course of this coming year, particularly around Eagle Downs and noting your Lancewood comment that you've paused that study?
Marcelo Matos: Maybe I'll start with the Isaac Downs Extension, okay, which is maybe for information is that -- is how we are renaming the Isaac South project. We are now calling it Isaac Downs Extension. That's going at full throttle. Okay. We are now finalizing mining plans, which will be the basis for the regulatory approval submissions, which is of course, critical path and is quite important. So priority is make sure that we land on a base case for the submission, especially if you look around disturbance, and all the ecology works and let's say groundwater works that we need to do ahead of the submissions. Our aim is to be finalizing and lodging EIS somewhere early next year. That's put us on track to hopefully all going well obtain the regulatory approvals by the end of '27, given it's an extension project and we are okay we are considering it a brownfield extension of the Isaac Downs project. We are hoping that by 2028, we should be able to start development. It's a similar project to Isaac Downs as we've spoken in the past with basically haul road, a bridge over the Isaac River and basically opening the pit and mining infrastructure. So it's a simple project and all going well. We hope to be able to minimize, let's say, disruption between the end of Isaac Downs or the economic limits of Isaac Downs and the ramp up of the extension project. It will be hard to keep tonnes at current levels at Isaac given the higher cost and highest strip ratios going forward. That was always expected, okay, but of course the priority will be to work hard to be able to bring the other extension project as quick as possible with the regulatory approvals being the critical path. Eagle Dawns work is progressing. We don't have as we spoke many times in the past, we don't have any, let's say, urgency in taking an investment decision anytime in the short-term. We always frame Eagle Downs as being a great option to have for as a growth project, but also as a long-term replacement for Poitrel. Poitrel only runs out in the early 2030s. So if that is the main, let's say, strategy for the project, we have time. However, if the project proves to be attractive, and of course, that will be a result of the works that we are doing now improving up the CapEx requirements and of course to look at what we can expect from the performance of the project going forward in tonnes and costs. And if we have the right funding equation for the project, it could be brought forward, okay. At this stage, we are doing the work required to be able to understand the costing of the project, from a CapEx standpoint within this year to be able to make an investment decision if all the stars align, meaning we have the right market conditions and we have the right funding solution for the project. But as I said, there's no, let's say, drop dead date or urgency in making any investment decision for Eagle Downs in the, let's say, in the short-term.
Brett McKay: All right. Excellent. And just quickly on Lancewood, that sounds like it's been sort of you've determined some key parameters there and decided to park that study up for the time being.
Marcelo Matos: Yes. Lancewood is more on a slower burn. Let's put it like that. We have priorities and the priorities are on Isaac on the Isaac extension and to a certain extent, given Eagle Downs have all the approvals in place. Lancewood, we will need to get, I mean, although it has a mining lease, we will need to get the regulatory approvals. Work towards getting the regulatory approvals will not stop necessarily, okay, because of course, that's critical path. Having said that, the existing mining lease for Lancewood is on expiry in 2030. So there is time for us to be able to obtain approvals and satisfy those requirements to make sure that we still have the mining lease in place by the time we need to make an investment decision. But as I said, the Isaac Extension and the Isaac Downs Extension and Eagle Downs, they are taking priority in that list.
Brett McKay: All right. Makes sense. I'll leave it there, gents. Thanks for that.
Operator: Your next question comes from Glyn Lawcock with Barren Joey. Please go ahead.
Glyn Lawcock: Good morning, Marcelo and team. Just I know you're going to give guidance next month, but is there anything you want to call out that we should be aware of in '25 scheduled maintenance shuts again that are going to come up in this year? And when you come to Isaac Plains, you talked about a tough January result. Does that feel like you're going to probably have to play a bit of catch up with that mine in the subsequent quarters, post March quarter?
Marcelo Matos: Good morning, Glyn. Look, maybe to start, the key message around projects and capital is by second quarter we are back to steady state sustaining capital with, I mean, within the three operations with, let's say, with the capital program completed. That means all going well at South Walker and so far, it's actually going very well on the ramp up of the CHPP. We'll be at a steady state 7 million run rate at South Walker. Poitrel, interestingly, will have another strong year, okay, well, of course, we are only giving guidance in another few weeks or so, but it will be another strong year for Poitrel and for Isaac. So what I can anticipate is we expect '25 to be a strong year production wise. January, yes, was a tough month. We were hit with weather not only in Isaac but across the board. So we actually similar to 2024 and 2023 as well January was not a good month to start the year. Sales and production were below expected. But similar to what we've done in '23 and '24, I can't see anything preventing us to catch up, okay, and to be producing in other levels we expect for the year. As a whole, Glyn, I think there will be the ups and downs between the three ops. As a whole, interestingly, given one may offset the other given the timing and coal flow. We're expecting a much more even year this year in terms of consolidated total coal production compared to perhaps the last couple of years. I think we're going to have a more balanced quarter-to-quarter production, but of course some ups and downs between the -- amongst the operations.
Glyn Lawcock: All right. That's great. And then maybe just turning to cash movements. You called out a couple of items, but just working capital, was there a working capital build as a result of ROM and saleable production flip in the final quarter just to end result and you being net debt at year end?
Shane Young: Yes. Hi, Glyn. Yes, I'd say probably one of the things as I called out earlier about sort of the cash movements was that looking in particularly at Q3 was kind of a strong quarter for sales and with some of the wet weather and other production being a little lower at South Walker, but we did see that impacting on Q4. So, to a certain extent, that's had an impact then flowing into to some working capital items, which has contributed, as you say, to the movement in cash. As we get into the early parts of 2025, that should start to normalize. But it's all dependent on weather as usual and coal prices and FX which is actually working in our favor as we sit here today.
Glyn Lawcock: No. Thanks. And then just final question. Just on your level of liquidity, as you said, just over US$500 million today, given the nature of the business and coal prices can be volatile, I mean, is that an appropriate level or is that on the excessive side? How do you think about US$500 million in liquidity there? Is that appropriate?
Shane Young: Yes. Look, interestingly, that's sort of the level that we had shortly after the BMC acquisition. We had a couple of facilities there, which when totaled up along with cash reserves at that time was pushing that 0.5 billion mark. It may be a little bit on the conservative side, for business of our size. But I guess that's a little bit of the function of where we find the coal market looking forward into 2025 as well. So, yes, it's better to have a little bit extra than a little bit less, but it's something that we're monitoring and no doubt the Board will consider too when meeting in their annual board meeting in February.
Glyn Lawcock: Yes, when they come to think about the dividend and returns?
Shane Young: Yes, that's right.
Glyn Lawcock: All right. Thanks very much.
Operator: [Operator Instructions] There are no further questions at this time. I'll now hand back to Mr. Marcelo Matos for closing remarks.
Marcelo Matos: Thank you all for your questions and for joining today's call. As always, I'd like to thank our employees and contractors. We could not have closed out a strong 2024 without your dedication and commitment to Stanmore. We look forward to continue to engage with our shareholders when we release our annual financial results for '24 in February, and good morning, everyone.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.